Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2015 Apogee Enterprises Incorporated Earnings Conference Call. My name is Juanita and I will be your operator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Ms. Mary Ann Jackson. Please proceed.
Mary Ann Jackson: Thank you, Juanita. Good morning and welcome to the Apogee Enterprises’ fiscal 2015 second quarter conference call on Wednesday, September 17, 2014. With us on the line today are Joe Puishys, CEO; and Jim Porter, CFO. Their remarks will focus on our fiscal 2015 second quarter and our outlook for fiscal 2015. During the course of this conference call, we will make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and the current economic environment and are of course subject to risks and uncertainties, which are beyond the control of management. These statements are not guarantees of future performance and actual results may differ materially. Important risks and other important factors that could cause actual results to differ materially from those in the forward-looking statements and projections are described in the company’s Annual Report on Form 10-K for the fiscal year ended March 1, 2014 and in our press release issued yesterday afternoon and filed on Form 8-K. Joe will now give you a brief overview of the results and Jim will cover the financials. After they conclude, Joe and Jim will answer your questions. Joe?
Joe Puishys: Thank you, Mary Ann. Good morning and welcome everyone. As you have read, we had exceptional revenue, earnings and backlog growth in the quarter. Our architectural markets have strengthened and we continue to win share gains by executing our growth strategies. All three architectural segments experienced significant double-digit growth in revenues and earnings. I am particularly pleased that our architectural businesses are starting to deliver on their potential even as we overcome some higher costs to expand our workforce and capacity in this segment. In addition, our backlog growth to $480 million, up 58% or $176 million is at its highest level in 6 years and positions us well for the future. Most of the work we are currently booking will be delivered in fiscal ‘16. Our backlog has been growing across the Board at improved margins with sequential growth in all four business segments both quarters this year. Jim will take into lot more detail on the breakdown of that backlog. In the second quarter, our revenues were up 30%, operating income up 66% and our earnings before taxes up 70%. Earnings per share were $0.57, including the aforementioned $0.22 tax credit we earned in the quarter. Excluding that tax credit, our adjusted EPS for the quarter was up 67% to $0.35. We earned the tax credit in August with the successful startup in commercial production of coatings on our new $30 million architectural glass coater, which will provide new product capabilities and better productivity. It was a major project and it required massive effort from our corporate and Viracon glass fabrication teams and flawless execution of the Viracon operations group. Trust me this was not falling off a log. I am also pleased that our cash and short-term investments grew to $25 million in the quarter, up $18 million in the first quarter despite the obvious working capital pressures that came with our significant growth. In addition to adding work shifts in most businesses to support this top line growth, we are going forward with two capacity investments to support what I believe a sustainable commercial construction market growth. We are pleased to have received state and local support for these investments, which will expand our workforces in the states of Utah and Wisconsin. On this subject, we are reopening our Architectural Glass facility in Utah, which has been closed since April of 2013. We expect to have all processes operating by January 2015 if not sooner to provide added capacity to help us meet our growing demand for Architectural Glass. This opening is happening sooner than we originally anticipated. We also approved an expansion of our Architectural Finishing facility in Wausau, Wisconsin with the new capacity expected to be in place in the second half of fiscal 2016. This will add more than 50% capacity to a critical growth operation. Work on both projects begins in the third quarter and the investments are included in our estimate of $40 million in CapEx for this current year. Looking at segment results, our Architectural Glass revenues were up 20%, operating income grew to $3.3 million, a 280 basis point improvement in operating margin. Our Viracon architectural glass fabrication business is certainly benefiting as the U.S. tall-building sector, which is the sweet spot for this business, has reached its highest level since 2007. Our results reflected improved operating leverage and pricing slightly offset by inefficiencies as our Architectural Glass business expanded its workforce to meet this growing demand. Our Architectural Services business, which is our installation business, also had an impressive quarter. Revenue grew 41% and in the quarter, profit was improved by 490 basis point improvement in operating margin from a loss to a nice profit. The segment saw strong project timing and revenue recognition as well as improved project margins, more on the margins later. In Architectural Framing Systems, revenues grew 55%. Organically, it was 28% excluding the Canadian acquisition we completed last November. Operating income in the framing systems segment was up 44%, but margins did decline slightly by 80 basis points as strong execution in the window and finishing businesses was offset partly by the impact of higher aluminum cost and soft Canadian markets in our two storefront businesses. Moving ahead, the U.S. storefront business will benefit from price increases that were just announced. Despite the slow Canadian markets, I am pleased that this storefront business was in the black in the quarter. We expect this business will continue to generate profits for Apogee moving ahead. Although the Large-Scale Optical revenues and operating income were down in the quarter, we are expecting strong demand in the third quarter for the holiday picture framing glass and acrylic requirements, whereas this happened in August last year. This will lead us to expected favorable Q3 year-over-year comparisons and we anticipate that the full year for this segment will be comparable to the prior fiscal year. I remind you that quarterly comps in this business are quite lumpy. The business is very healthy. As I look to the outlook, our fiscal year is shaping up to be an exceptional one for Apogee. We have raised our guidance for revenue growth to approximately 20% from 15% to 20% in our prior guidance. And our earnings per share range has been raised to $1.62 to $1.72, reflecting the tax credit we earned in the second quarter. We are experiencing robust bidding and quoting activity and significant backlog growth as we gained market share. With regards to our commercial market sectors, the U.S. commercial construction market based on Apogee’s lag to McGraw-Hill forecast for the segments we serve has increased to approximately 10% for the fiscal year and we will significantly overachieve this with our share gains for new products and new geographies. In addition, the Architectural Billing Index, the ABI has reached its highest level since 2007, with consistent monthly gains in the last 24 months. And despite the weak start to our year in Canada, commercial construction markets there are now expected to grow for the remainder of the year and our backlog in our business in Canada is now at a historical high. I am confident we are on a path of $1 billion in revenues and double-digit operating margin by the end of fiscal 2016. Our strategy is to grow through the U.S. and international geographies. New product introductions and new market sectors are delivering positive results and our current high level of backlog bodes quite well for fiscal 2016. Jim will now cover the financials in more detail. Jim?
Jim Porter: Thanks, Joe. I am also pleased with the strength of our second quarter performance. Our revenues grew 30% or approximately 23% organic growth, excluding the impact of the acquisition made in third quarter of last year. Earnings per share were $0.57. Excluding the impact of the tax credit, adjusted earnings per share were $0.35, a 67% increase over the second quarter last year. Each of our three architectural segments was a strong contributor to our revenue, backlog, and earnings growth in the quarter and the Large-Scale Optical segment continues to deliver solid profitability. Our second quarter results underscore the strength we are seeing in our core U.S. architectural market. It’s evident that Apogee’s architectural businesses are gaining share as we grew revenue for all our architectural businesses collectively by 34%, approximately 25% growth organically, which is well above the 10% market growth we are expecting this year. Although the operating income and adjusted earnings per share were up almost 70% compared to the second quarter of fiscal 2014, the gross margin of 21.3% was down slightly from the prior year period gross margin of 21.6%. On these higher revenues and volume, our gross margins were negatively impacted in the quarter in comparison to the second quarter last year by four items. First was the mix of business in the quarter. Our highest margin in Large-Scale Optical business was a smaller percentage of total revenues this year. Second, the two storefront businesses were impacted by higher aluminum costs in the quarter and the soft Canadian economy. Our U.S. storefront business should start to benefit from price increases during the third quarter and market conditions are continuing to improve in Canada. Third, we experienced higher healthcare costs in the quarter. And lastly, we have had ramp up costs to address volume increases, primarily in architectural glass business as we add shop floor staff. Combined, these four items impacted us by about 200 basis points compared to last year’s gross margin, but it also impacted us negatively roughly 50 basis points compared to what our expectations were for the quarter. I am encouraged though that the second quarter gross margin is sequentially up 170 basis points from the first quarter as we gain operating leverage on a higher volume and as the Canadian business improves. The tax credit of $6.4 million or $0.22 per share recognized in the quarter was the culmination of our investment in new architectural glass coater to enable production of coatings with higher levels of energy efficiency for commercial buildings. We were awarded this credit known as Section 48C of the Internal Revenue Code in 2010 by the IRS in cooperation with the Department of Energy as part of the stimulus bill to incent energy efficiency investments throughout the country. Receipt of the credit required Apogee to be in production of these higher energy efficient products by the end of the fiscal 2015 second quarter, which we accomplished triggering our recognition of the credit this quarter. This was also called out in our August 20 release. With the credit, we had a negative tax rate for the quarter compared to a positive tax rate of 33.6% in the prior year period. Second quarter average capacity utilization across all architectural manufacturing businesses was approximately 75%, up from approximately 65% in the first quarter and in the prior year period. The second quarter backlog was $480.2 million, up 58% from $304.2 million in the prior year period. We are very pleased to see our third consecutive quarter of robust order activity and backlog growth. We continue to have solid bidding and quoting activity and expect to maintain strong backlog levels with a trend of growth even with our projected revenue growth. As I do every quarter, I want to remind you that our business can have lumpy order intake activity. So, we don’t require or necessarily expect sequential backlog each quarter to be consistent with the longer term trend. Our backlog mix at the end of the second quarter reflects growth in all sectors, except institutional. We experienced continued growth in the office sector, but also saw strong growth in the hotel, entertainment and transportation projects as well as high-end multifamily work. The office mix held at about half of our backlog. Giving you the breakout, the office sector was 50% to 55% of the backlog, institutional was approximately 15% to 20% of the backlog, with healthcare projects a majority. Multifamily residential, including high-end condos and apartments, was approximately 15% and hotel entertainment and transportation was approximately 10% to 15% of the backlog. Regarding the timing of the backlog, approximately $285 million or 59% of our backlog is expected to be delivered in fiscal 2015 and approximately $195 million or 41% in fiscal 2016 and beyond. Our cash and short-term investments totaled $25 million, up from $17.7 million in the first quarter. In the first half of this fiscal year, mostly in the second quarter, we repurchased approximately 205,000 shares for approximately $7 million. Our repurchase was consistent with our buyback philosophy to be anti-dilutive to compensation programs. In the quarter, we had positive free cash flow of $11 million compared to $8 million in the prior year period. Non-cash working capital increased to $98.8 million as we significantly grow our business, up from $77.3 million at the end of fiscal 2014. This growth is primarily driven by the growth in receivables and we continue to have very strong days working capital management. We defined free cash flow as net cash flow provided by operating activities minus CapEx and non-cash working capital defined as current assets, excluding cash and short-term available-for-sale securities, short-term restricted investments and current portion of long-term debt plus current liabilities. Now, I will turn to our outlook. We have adjusted our revenue outlook for the full year to be at about 20% growth, which is at the high end of our previous range of 15% to 20%. We increased our full year fiscal 2015 earnings per share guidance range to $1.62 to $1.72 per share to reflect the second quarter tax credit of $0.22 per share. We are maintaining our adjusted earnings per share guidance, excluding the tax credit on the higher revenue range to reflect the headwinds in gross margin I called out for the second quarter. Our architectural markets strengthened more quickly than we had anticipated and we are experiencing some costs and ramping up to meet demand. I would like to reiterate that the most difficult thing for us to predict is timing of project flow driven by normal variation in construction project timing. This project flow timing impacts volume as well as the mix of business, projects and products all of which affects revenue and margins. Providing that the committed workflows as we have anticipated in fiscal 2015 and we have the expected book and bill activity, we do have line of sight to the upper end of our earnings per share range. We are expecting that our gross margin for the year will be 22% to 23%, down somewhat from our previous outlook of 23% due to the headwinds that we have discussed. For the balance of the year, we will benefit from that stronger Large-Scale Optical sales and price increases recently announced in the storefront business to offset the higher aluminum cost as well as better efficiencies with the ramp up. We anticipate a tax rate of approximately 34% for the second half of the year. We expect to generate positive free cash flow for fiscal 2015 after we spend approximately $40 million for the full year on capital that remains balanced across investments for growth, productivity and new products as well as for maintenance. Two capacity additions that we just announced are included in this level of CapEx. We expect that the reopening of our Utah architectural glass facility in the fourth quarter will add around 15% to 20% to architectural glass capacity. At the time the facility was shutdown in April 2013, there were approximately 200 employees. The second capacity expansion is for architectural finishing in Wisconsin as Joe mentioned. This is approximately $15 million. The majority of which will occur over the next 12 months, most of it next fiscal year, includes expanding the facility and purchasing new equipment. Groundbreaking on the building expansion is planned for this fall. Depreciation and amortization for this year should be approximately $30 million. I feel really good about our second quarter performance and expect that we will continue to see strong growth, expanding margins and free cash flow generation for fiscal 2015. I believe we are executing on the goals that we laid out and have communicated and I am excited with the strong market growth we are now seeing. Joe?
Joe Puishys: Thanks, Jim. So, as you have heard today, our growth is significant and above our end markets. Our backlog has been growing across the Board at improved margins, with sequential growth in all four segments in each quarter this year. We are incurring some costs this year to accommodate what I believe to be long-term growth and we are focused on smartly capturing the sustained growth with an eye on the future horizon at all times. Most of our added costs are variable and our capital expenditure investments drive productivity as well as capacity. I think the good news is in the quarter and year-to-date we had very solid results. The better news is I believe there was room for improvement and I am the first to admit that, but we had a great quarter. And I now look forward to your questions. So, Juanita, if you could open the call up for questions from our guests. Thank you.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Samuel Eisner with Goldman Sachs. Please proceed.
Samuel Eisner - Goldman Sachs: Yes, good morning everyone.
Joe Puishys: Hey, Sam.
Jim Porter: Good morning.
Samuel Eisner - Goldman Sachs: Just on the new facility or I guess the Utah facility, so this was a facility that was closed about a year ago and now you are reopening it a year later. So, just curious the decision-making process kind of I want to understand what exactly has happened with that facility and then the internal discussions around that?
Joe Puishys: Yes, sure. Sam, this is Joe. It’s one of our three U.S. facilities for our glass fabrication business known as Viracon. When I first came here, I thought we should have addressed capacity. We made some investments in our other facilities, namely in our Georgia facility. Once we completed that, it allowed us to successfully shutter the factory in Utah, which is near the Las Vegas area. We announced at that time, that we believed based on our view of the end markets, that it would be approximately 2 years before we would be reopening it. We are going to come in under that timeframe and we are all pleased of what’s going on in our end markets, our share gains and we pulled up that timeline. So, we will spend a couple of million dollars to invest in that factory as we reopen it. And I think we have proven we know how to address capacity in that business. And so it’s all part of the master plan. It’s just happening little faster than we planned.
Samuel Eisner - Goldman Sachs: Understood. And then so with the addition of this facility as well as the new one that you are making in Wisconsin, want to understand a bit better the 10% margin goal for fiscal ‘16, obviously there are some incremental costs that when you first gave that target are being added on here. So, want to understand how do you – your feelings behind that 10% margin goal for fiscal ‘16?
Joe Puishys: Yes. I am very confident in the goal, Sam. The factory in Utah really is unrelated to whether or not I would hit that number. I would tell you it would have been easier on us if we had 12% growth each year. It’s frankly relatively easy to hit entitlement conversion when you are growing 5%, 6%, 7%, 8%, 9% consistently. In our 3-year horizon, the market did nothing for us in the first 18 months. It started to grow and now it’s been explosive. So at 30% growth, it’s a little harder to convert your entitlement. As I mentioned, I believe all seven of my businesses had an opportunity to perform even better, but it is a lot of work to address growth, you have some incremental or step increases in cost as you add shifts. You add people – when we initially add people, we added over 400 production people in our architectural businesses and that we have the highest attrition rate in that group. So, you run into many inefficiencies. I do believe by the end of fiscal ‘16 we will be at that rate. As I mentioned in the last couple of reports, I admit it might be into the first half of fiscal ‘17 before our TTM reflects the 10%, but I do believe we will be at that rate by the end of fiscal ‘16 and hopefully on a trailing 12 months sometime early in fiscal ‘17.
Samuel Eisner - Goldman Sachs: That’s very helpful. And then just lastly regarding project timing, it sounded as though this quarter I believe the services segment had some benefits from project timing at least on the revenue basis. Just curious how much of that benefit occurred and then also to Jim’s comments regarding project timing, is the expectation that backlog is going to decline sequentially into the third quarter? Thanks so much.
Joe Puishys: Yes, sure Sam. Jim can chime in as well. I do believe at some point the large increases in the backlog from our services business will level off. I frankly believe we will have a good third quarter before that begins to happen. Our timing, frankly, the business is performing extremely well, but pretty much on forecast. Earlier in the quarter, I thought we might have a little bit of a timing slippage. It didn’t happen. We had good project execution at better margins. You all asked me about margins in backlog. In the last three years, we have improved margins in backlog about 400 basis points. We are in that 100 to 200 a year improvement. We have worked off most of the projects that were booked in the most lean periods, but we continue to see improved margins through smart project selection and excellent project execution. Jim, if I missed anything please jump in?
Jim Porter: Yes, no, I will just elaborate it, but you are right, Samuel, which is our Architectural Services segment is probably the lumpiest, if you will, based on project timing. And so I think Q2 revenue was a little bit larger relative to the rest of the year based on just that kind of timing. So we don’t expect similar growth rates year-on-year for the second half of the year. And then also as Joe said, while we continue to expect the trend of increasing backlog, probably the rate of increase in backlog was larger in the second quarter than at least we have line of sight to in the third quarter.
Samuel Eisner - Goldman Sachs: That’s helpful. I will hop back in queue. Thanks.
Joe Puishys: Thanks, Sam.
Operator: Your next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed.
Brent Thielman - D.A. Davidson: Hey, good morning.
Joe Puishys: Hey, Brent. Good morning.
Brent Thielman - D.A. Davidson: Yes. Just looking at how the second half could play out, traditionally Q3 has been your strongest quarter, but with maybe some higher costs for ramping up in architectural, should we assume Q4 is likely a stronger quarter as you are absorbing more of those costs here in the current quarter?
Joe Puishys: No, I don’t – I would not assume that, Sam. In fact, I would say this has been an unusual year. We probably picked up, but in the architectural side, ramp up costs earlier than expected for the reasons I mentioned. Secondly, in my comments, although they were brief, our Large-Scale Optical business, which is a gem of a business and the unfortunate truth is when you have such a high margin business like that, when you have a quarterly comp like they have had, it certainly impacted our quarter results. We will see a strong contribution from LSO in Q3 even more so than usual. So, I expect Q3 to continue to be our strongest quarter this year.
Jim Porter: Yes. And I think similar to what we just happened to see last year as I think Q3 and Q4 will be relatively balanced by Q3, we do expect to be a bit stronger in Q4.
Brent Thielman - D. A. Davidson: Got it. That’s helpful. And then within your backlog, is there kind of a higher proportion of larger projects than what you have I guess typically seen in the past?
Joe Puishys: We have a pretty good balance of large and small projects. And frankly, our largest contributor to backlog is our services business. However, this year the largest growth to backlog has been our glass fabrication business, which is a compilation of a lot smaller projects. So, I think the services business has booked some larger projects, but in the total scheme of the Apogee backlog, we are seeing a much more balanced. And within our end markets, the largest growth has been the large Class A commercial buildings for the office sector. So, within Viracon or our glass fab business, the backlog is seeing larger projects, but they are certainly much smaller than the services. So it’s a combination, I wouldn’t say there is a big theme there, Brent.
Brent Thielman - D. A. Davidson: Okay. And then you commented on kind of the end market mix there, it sounds like most things are looking pretty good. Any signs of bottoming in the institutional side or has that remained pretty soft?
Joe Puishys: Well, we have certainly seen a shift within institutional from government to non-government, healthcare, etcetera. That’s certainly healthy. Jim and I have been – I’d like to pat ourselves in the back, we have been pretty good about gauging the McGraw-Hill data, discounting it two years ago and I think we are right on that. I believe we are on the mark with now comfortable that we are at a period of sustained growth through fiscal ‘18. And so for 3 years of course in this global economy, geopolitical events, anything can happen, but we are feeling pretty robust for the next 3 years. So, we do not see a cliff in the near future, but trust me we are watching it like a hawk. I think institutional is certainly not growing. The business has moved more to what we like, which is the office sector.
Brent Thielman - D. A. Davidson: Okay, thanks guys.
Joe Puishys: You are welcome, Brent.
Operator: Your next question comes from the line of Jon Braatz with Kansas City Capital. Please proceed.
Jon Braatz - Kansas City Capital: Good morning, everyone.
Jim Porter: Good morning, Jon.
Joe Puishys: Hey, Jon.
Jon Braatz - Kansas City Capital: Jim, just a clarification, the Utah expansion and the Wisconsin expansion really will not entail much in terms of startup costs?
Jim Porter: The Utah expansion, I think Joe just mentioned is going to require about $2 million of capital.
Jon Braatz - Kansas City Capital: Right.
Jim Porter: And then there will be just some normal startup costs in terms of kind of ramping in terms of hiring. The one real benefit that we have with that facility, because when we closed it, we intended to reopen it and so for really a majority of the critical positions we actually had people that were willing to relocate to our other architectural glass businesses and they are now teed up to go back to Utah and reopen that. So, that will really accelerate and that will just kind of have a normal ramp up. And so there will be a little bit of headwind for the initial ramp up. And then in the Architectural Finishing business, so that’s a bigger capital investment as it’s an expansion. And so that’s going to be about $15 million, probably two-thirds of that will actually occur in fiscal ‘16, a third of it this fiscal year, but we expect to be up and running in that facility by next summer.
Jon Braatz - Kansas City Capital: Okay. Joe, speaking of CapEx, we have had three years, consecutive years of pretty heavy CapEx, you have added a lot this year. When you look into 2016, will we see some leveling off or not leveling off, some decline in CapEx?
Joe Puishys: No, I don’t think so, Jon. We probably will be looking at levels similar to this year. We are really not through our planning process yet. We just wrapped up our strategic planning process this week. I would say – I would remind you though every capital project we are launching has productivity in it. So, even capacity investments, we talked about what we call the super coder for architectural glass business, the largest single investment we have made since I joined the company was certainly not done at the time for capacity needs, not one iota, it was all for productivity and product capability. And that’s the case with all these capital, even the capacity investment, Jim just referenced in Wausau, the finishing, that is a new – will be a new line. It will be more than 50% add to a particular process that’s stressed right now because of volume and it will operate more productively. If the day comes, I have to take down one of my other lines. It certainly would not be the new line and we continue to gain. So, I am comfortable with the ramped up level of CapEx. It’s not extremely higher than D&A, but it is running higher and frankly making up for some lean years, where I think we could have continued focusing on productivity.
Jon Braatz - Kansas City Capital: Sure. One last question, Joe, you talked a little bit about LSO being comparable for the full year. Two things. Number one, are you talking about referring to both revenue and profits? And then secondly, what do you see out there that gives you the confidence that the second half is going to pickup and get to that comparable level year-over-year?
Joe Puishys: Yes. The first part of your question, yes, I do believe comparable both on revenues and income. I think the small business million dollars in sales can move the bottom line pretty far. So – but in general, we have good radar. We have got – it’s a business that has incredible stickiness with its customer base. And I would say we have got good radar on what we expect for orders in the second half. I remind you all, I think Q4 we were up 660 basis points in margin year-over-year, so –and that was just two quarters ago, three quarters ago. I expect margin basis point enhancement in Q3 and for the full year to be directionally close. Unfortunately, the end markets for that consumer product are still relatively flat. We are doing some great things with new products. We have just launched that are going to start to take traction this year, not a lot of sales, but we are excited about it. Our efforts to grow in Europe continue to be successful. So, we don’t need – when architectural was plummeting and that business was growing 5%, of course, the mix looks wonderful, conversion looks fantastic. When that business is relatively flat and architectural was growing 30%, it does hurt my conversion mix, but it’s still as I said it’s a very healthy business. And I think we are going to need a couple of more quarters of strong consumer confidence before we see the end markets get much better.
Jon Braatz - Kansas City Capital: Alright, Joe thanks much.
Joe Puishys: You bet, Jon.
Operator: (Operator Instructions) Your next question comes from the line of Colin Rusch with Northland Capital Markets. Please proceed.
Colin Rusch - Northland Capital Markets: Thanks so much guys. With the new investments in capacity and as you go through this ramp and considering the mix you have pretty good visibility, could you talk a little bit about incremental operating margins for the growth that you are looking at in the back half of this year and as we look out over the next year or two?
Jim Porter: So, Colin, I think this year, we have been talking about kind of our conversion or incremental margin at kind of a 20% rate for the year and we talked about some of the things in terms of mix of faster growth in some of our lower margin businesses and those types of things. And then we have experienced some of the headwinds that we talked about. As we look to next year, I think our goals are back in the 20% to 25% incremental margin or conversion rate.
Joe Puishys: Yes, Colin, it’s Joe here. Even though, our Q2, I said, results were impressive with the income growth conversion certainly isn’t going to satisfy everyone. However, you peel back the onion we have seven businesses, six in the architectural sector and LSO. We already know LSO was an off quarter. We are expecting that to turnaround in Q3. Within the architectural business, four of those six businesses had very solid conversion, but we mentioned the storefront businesses both had issues in the quarter with regards to aluminum costs and end markets in Canada. So it’s not fair to look at the conversion in total and address it, it is fair to say why was your conversion low in these two businesses. And I hope we have explained that. We do feel better about second half pricing in the U.S. business. And we do feel better about the end markets in Canada. So – but I do believe we should be in the 20% to 25% conversion for those businesses in the architectural segment. And while everyone might not fire on all cylinders, my expectation is that it should.
Colin Rusch - Northland Capital Markets: Okay. And then just about capital efficiency, I mean, you guys have obviously got a lot of infrastructure to work from these incremental CapEx investments seem like there is essentially an awful lot of leverage. Could you just talk about internal expectations on returns and what your benchmarks are in terms of adding those – adding those basic capacity in making those investments?
Jim Porter: Colin, we use that internal return on invested capital of 15% in evaluating capital projects.
Colin Rusch - Northland Capital Markets: And what’s your expectation on these projects, because it looks to me like there is potentially a significant amount of upside to these investments that you are making to that 15% hurdle rate?
Jim Porter: Well, they all depend on capacity utilization, but our outlook for these businesses is that they will be very attractive investments.
Colin Rusch - Northland Capital Markets: Okay. I will take this offline and will then try and get a little bit more detail, but thanks so much, guys.
Joe Puishys: Thanks, Colin.
Operator: Your next question is a follow-up from the line Samuel Eisner with Goldman Sachs. Please proceed.
Samuel Eisner - Goldman Sachs: Yes. Just a few just kind of quick follow-ups here. Just on the gross margin headwind in the quarter, you said it was about 200 basis points year-on-year, just curious how you kind of parse out the four items, was it about 50 bps per item or was some larger than others in that year-on-year headwind?
Joe Puishys: Well, when you look at year-on-year, I mean actually just the business mix, I mean the Large-Scale Optical being a smaller percentage of our overall revenues probably has the largest impact and then the others are kind of equally impacted.
Jim Porter: I mean, it stays close to that Sam.
Samuel Eisner - Goldman Sachs: Yes, that’s helpful. Just – and then in terms of just long-term capital allocation, I think last cycle towards the end of the cycle you guys looked at making Greenfield investments internationally, does these roughly $70 million of CapEx investments that you are making in the new facilities, does that basically limit you going forward in your ability to look internationally for Greenfield opportunities or how do you think about long-term CapEx plans?
Joe Puishys: I am glad you asked that, Sam. No, it certainly does not limit us. We have a ton of capacity. You have heard me use the term, drunk, so I have no plan to get drunk and disorderly, but we do have a lot of capacity. I told my people when I come here don’t waste a good recession, but step on the accelerator before we come out of the curve as long as you think you are coming out of the curve. Right now, it’s kind of turned. We – I want to make sure we don’t overrun the growth curve and drive into the ditch though, we are constantly looking at that. But we also do not want to fall victim to missing our stated growth potential just because our end markets are very strong right now and we are growing and addressing capacity. All those opportunities are still out there. We make sure we don’t spread ourselves too thin with management execution capability, but capital resource is certainly not a barrier for us at this time.
Jim Porter: And we continue – we generate significant amounts of cash in the up-cycle, but that said we will evaluate all exciting opportunities, but we also are really closely watching the markets and it’s picked up quickly and will be sensitive to investments that we are making where we believe we are in the cycle.
Samuel Eisner - Goldman Sachs: Great. Thanks.
Joe Puishys: Thanks again, Sam.
Operator: And at this time, we have no further questions. I would now like to turn the call back over to Joe Puishys for any closing remarks.
Joe Puishys: Okay. Well, thank you Juanita and everyone for joining in today. Thanks. Just one last time, I thought it was an exceptional quarter. I remain extremely optimistic about our long-term and look forward to reporting another great quarter for you in about 90 days. You all have a great day and we will talk to you soon. Thank you all.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes our presentation. You may now disconnect. Have a great day.